Bridget Coates: Kia ora koutou katoa. Good morning, and thank you all for joining us today. I'm Bridget Coates, our Chair of the Comvita Board. I'd like to warmly welcome you to this online meeting, where we will provide you with an update on Comvita's Interim Results for the 6 months ended 31st of December 2025. Today's presentation will be led by myself, our Chief Executive Officer, Karl Gradon; and our Chief Financial Officer, Mandy Tomkins-Dancey. I would also like to acknowledge my fellow directors who are in attendance, Mike Sang, Chair of our Audit and Risk Committee; Bob Major and Alfred Luk, representing Yawen Wu from China Resources. Yawen Wu and Greg Barclay send their apologies for today. Before we begin, I would like to wish those in our Asian markets a very happy Lunar New Year, Gong Xi Fa Cai. Comvita is a global business with the majority of our staff based offshore and a significant proportion in Asia. Our team in this important region are working hard through Lunar New Year, a critical trading period for Comvita, and we thank them for their efforts, innovation and passion that they are bringing at this time. It's been so great to see the innovative marketing activations and locally tailored products that have been developed for Lunar New Year launch in the market. Our connection to Asia remains an important part of Comvita's story. The year of the horse symbolizes energy, resilience and forward momentum, a fitting moment to reflect on the progress we have made in the last 6 months and on our priorities for the remainder of the year. I will start the session today with a high-level performance overview and recapitalization update. Karl will then provide an operational and market update, and Mandy will follow Karl to talk to our financial performance for the half year and update on our full year forecasts. Then Karl will return at the end to give you an update on our strategy looking forward before we move to question-and-answer session. Before we step through the detailed results, I'd like to briefly frame the first half. The period reflects disciplined execution and clear progress in stabilizing our business. We delivered against our first half objectives, which were returning to profitability, generating positive operating cash flow and reducing both net debt and inventory. Important work has continued to strengthen the foundations of the business, building leadership capability, sharpening our strategic focus and improving execution discipline. The company has also managed risk and strengthened resilience by shifting focus towards higher growth regions, while maintaining discipline in markets, where conditions remain softer. The impact of these initiatives is clearly evident in the results the team will take you through today. Our full year FY '26 forecasts remain consistent with the prior guidance that we have given you. Normalized EBIT of $14.3 million or $13.5 million pre-IFRS 16, as communicated at our Annual Shareholders Meeting in December. This is, of course, subject to trading execution and market conditions, which we are monitoring closely -- we are monitoring closely the key value drivers that underpin the full year result. Meaningful progress has been made over these past 6 months. Comvita is moving in the right direction again. And in saying this, we remain mindful of the work still ahead to fully restore our financial strength and to deliver a sustainable long-term performance. Today, I'm very pleased to report improvements across all of Comvita's key financial metrics. Revenue growth, profitability, cash flow, net debt and inventory reduction are all on or ahead of our targets. As you can see, they also show significant improvement relative to the first half of FY '25. This result reflects decisive action, disciplined execution and a clear focus on restoring financial strength, driven by an experienced leadership team, which is committed to returning the business to sustainable growth and restoring shareholder value. Mandy will speak to our financial performance shortly. The recapitalization of the company remains the top priority for the Board. We continue to engage constructively with our lending syndicate regarding extension of banking facilities beyond April 2026, subject to completion of the recapitalization. The Board would like to take this opportunity to acknowledge the continued support of our banking partners. The recapitalization process is progressing according to plan, with the Board focused on its core objectives, which are creating certainty, ensuring participation for all eligible shareholders and minimizing dilution. We have confirmed credible expressions of interest from both existing and prospective investors to support and potentially to underwrite the capital raise, including interest at pricing levels, which are above the current market. This does include interest from an offshore strategic investor in the food and beverage sector to underwrite a capital raise at a share price of $0.80 per share and a level and a quantum materially above the minimum $25 million, which is required to position the company appropriately, and that would provide the company with additional financial flexibility. The ultimate shareholding of the strategic investor would be determined by the participation of existing shareholders in the cap raise and may require shareholder approval and overseas investment office consent. The Board is carefully assessing these various options alongside continued constructive engagement with the company's lenders regarding the potential extension of lending facilities. Given the stage of the process, we are not in a position to provide you with further detail today. The Board is progressing this work at pace, though, and we'll update shareholders as soon as it is appropriate to do so, in line with our continuous disclosure requirements. Current timing for the recapitalization is aligned with the April 2026 banking facility expiry. I would now like to hand over to Karl Gradon, Comvita's CEO, to provide you with more detailed update on the operational progress delivered and how our markets are performing. Karl, thank you.
Karl Gradon: Thank you very much, Bridget. Kia ora koutou, good morning and Gong Xi Fa Cai, Happy Lunar New Year. It's a pleasure to be here today to present significant progress against our H1 priorities. Before I get into detail, though, I would like to firstly acknowledge the strength and passion of our leadership team and the dedication of our entire global team. The energy, focus, commitment and passion for this very special brand and business are the force behind the improvements we have delivered over the past 6 months. I'd like to reiterate what I said at the ASM in December. Consistent delivery of results is how we earn and maintain the trust and support of our shareholders and stakeholders. We have continued to build on the hard decisions and foundational work undertaken over the past 18 months. We've worked with ongoing focus and discipline, and we are on track to deliver against our FY '26 priorities and financial targets. Our debt and inventory levels continue to fall and are now further reduced from the time at the end of the financial year. While doing this, we have implemented new sales strategies in the Chinese, American and Southeast Asian markets, and we are seeing these benefits flow through. We've continued to maintain our premium positioning, supported by a focused innovation pipeline and strengthening of our global brand framework. At the same time, we have continued to deliver locally relevant innovation and new products and offerings. We'll talk about a few of these examples shortly. We are delighted with the results from our club retail partnership in North America, and we are also continuing to work on how we diversify risk across our key markets, customers and economic cycles. Having the right leadership capability and experience has been our key priority. We have our Chief Financial Officer, our Chief Operating Officer and Chief People and Culture Officer in place with further announcements for key positions shortly. The benefits of cost savings initiatives we started in 2025 are continuing to flow through into the '26 results, and we are continuing to work on optimizing our business model, our operations and improving our risk management. And last but definitely not least, we are working hard and continuing to see the benefits from lifting our global connection, alignment and engagement. I'm very proud of our dedicated team and how they continue to lift their performance, while still being very realistic and grounded that this is an ongoing journey. I'll now provide an update on the progress, challenges and what our key focus areas are in some of our key markets. Within the Greater China region, China continues to be a challenging market with mixed results and uneven economic performance. While GDP grew in 2025, mainly through strong exports, there is still relatively weak consumer confidence and sluggish domestic demand. Comvita continues to maintain its #1 brand position and lead in China online channels despite ongoing weaker demand and commoditization and lower UMF grades. We continue to outperform at the higher UMF end of the market. While our sales are down, we are starting to stabilize our net contribution even with the challenging market environment. I need to be very clear that this has been no mean feat and is a testament to the strength of the team in market. We continue to work on differentiating our brand and leveraging innovation beyond Honey and Anjeer to a position in the category and put ourselves on a new growth curve. We remain focused on reducing exposure to economic cycles in particular markets. We are also exploring volume opportunities in large-scale retail and online and continue to ensure our existing channels and store footprints are optimized to deliver maximum profit. In North America, as previously mentioned, it is absolutely clear that they are now the world's largest Manuka honey market, and Comvita has been part of this growth through its club retail relationship. This relationship has delivered significant sales growth and also an increase in net contribution for the half year. While the net contribution percentage has declined, this excludes the positive benefit to manufacturing efficiency we have gained in New Zealand from the increased volumes. In FY '26 H1, we have also seen strong market growth in the natural retail channels. Aggressive e-commerce competition and relatively low consumer awareness and household penetration are challenges, but we are seeing these as opportunities. Alongside our strategy to maximize these opportunities, we are actively exploring other large retail and product format opportunities to further strengthen Comvita's market position. Winning in the large North American Manuka honey market and doing this profitably remains top priority for the team, and we are excited by the progress seen to date. The performance in our other markets across Asia, Australia, New Zealand, U.K. and Europe has been mixed, but overall, it has improved from H1 2025. Sales, net contribution and net contribution percentage are all up across all markets apart from ANZ. Our Singapore performance has significantly lifted through a focus on operational improvement, and this key market continues to provide a gateway to further growth in Southeast Asia. Business model improvements and cost reductions have also improved performance in other markets. We definitely see intensifying competition in all our markets and our ANZ market remains challenging. The Asian health channel continues to underperform due to a heavy reliance on China's economic recovery, although we have seen some growth return due to increasing tourist traffic. Moving forward, we will continue to focus on our channel optimization and look for strategic and targeted geographical expansion opportunities. Before I finish, I would like to share with you some recent examples of how we are using innovation informed by consumer intelligence and market trends for brand differentiation and growth. Lozenges are a key growing product group for Comvita and serve an important role in recruiting new consumers to our brand given the affordable price point. Market access for lozenges is also relatively straightforward, enabling launches to be scaled across multiple markets. We have recently added 2 new fresh and modern flavors to our pure Manuka honey range with -- Manuka with Yuzu and Manuka with Ginger. Sales for the total range, including the new products, are forecast to grow over 60% this financial year. Locally relevant innovation is key. As you know, we are currently in the Lunar New Year period in Asia, a key gifting occasion driving sales across many of our markets. Every year, we continue to lift the bar with contemporary and aspirational gift boxes and supporting marketing activation. This is an image of one of our beautiful gift sets and boxes for the celebration this year, which is the year of the horse. I will now hand over to Mandy, our CFO, to provide a financial update. Thank you, Mandy.
Mandy Tomkins-Dancey: Ata marie, good morning, everyone. We are pleased to have delivered on our H1 objectives with a solid first half year performance. Strong U.S. club retail wholesale channel performance drove improved volume, sales, profitability and supported overhead recovery. This strong performance offset sales challenges in the U.S. club retail digital channel and ANZ markets. Performance across other markets largely balanced out overall. Ongoing disciplined cost management and the flow-through of cost-out initiatives in the financial year '25 have reduced our operating costs compared to prior periods. Specific examples include delivering procurement formulation and freight efficiencies, streamlining leadership, simplifying our organizational structure and reducing staff numbers to align with operational realities and strategic priorities. Cost savings have been achieved in the first half of the financial year, notwithstanding the inclusion of transaction costs of $1.4 million in our half year '26 results. While trading conditions remain mixed across regions and channels, EBIT performance has stabilized overall, reflecting the diversification benefits of the U.S. club retail channel. During half year '26, we have further reduced our inventory and net debt levels. Excess inventory has been an issue for Comvita, and we have now completed our inventory normalization program, reducing inventory from prior levels of $145.8 million at December '23, down to $68.3 million at 31 December '25. In addition to delivering our half year operating profit, improved cash conversion cycles from 484 days to 239 days, primarily from excess inventory sell-through, enabled us to reduce our debt further and faster than we had planned. Further working capital improvements are not expected to the same level in the second half of the financial year. At the first half of the financial year, our net debt was sitting at $48.7 million, a further significant reduction from the net debt of $62.4 million at the end of financial year 2025 and $81.6 million at the same time last year. As Bridget mentioned earlier, our normalized EBIT forecast for the full financial year remains at $14.3 million or normalized EBIT pre-IFRS 16 of $13.5 million as shared at our ASM in December. While we've had a solid H1, important seasonal and commercial drivers, which we've signaled previously to you, sit ahead of us in our third quarter. As such, we are maintaining our full year guidance, and we continue to monitor, manage and reassess these factors as they are delivered. Headwinds from ANZ and FX are challenges, which are currently being offset by solid performance in other markets and areas. We expect this to continue. A key driver of our H1 performance was the demand and sell-through of our club retail partner in the U.S.A. As already mentioned, this is currently in line with forecasts. The Manuka honey season, like our summer, has been mixed, not as settled, calm and warm as we would like. We had forecast for an okay season, and this is now playing out with yields likely to be in line with our baseline assumptions. The Lunar New Year sales period is well underway, but results are not yet known. Our China and wider Asian team are supporting this with comprehensive promotional plans and are focused on managing this key sales period for maximum profitability. Finally, given that China and the U.S. experienced cold and flu season and several key trading and gifting moments in H1, our H2 outlook reflects the seasonal cadence of our business. While there are still some uncertainties, I'd like to reiterate the comments I made at the ASM. What gives me confidence in our future is the tangible progress that has already been made as demonstrated by our financial metrics and the clarity on our key drivers. We are clear on our priorities and the further work required this year and moving forward to enable sustainable profits and deliver increased value.. I will now hand back to Karl to talk to our strategy and growth opportunities.
Karl Gradon: Thank you, Mandy. The Manuka Honey category continues to evolve, and our success will depend on how effectively we adapt to these changes, while positioning our business for sustainable long-term performance. The category remains significant and continues to grow overall with total value reaching a new peak in 2025. North America is currently the fastest-growing market, while Greater China has been more challenging. At the same time, the average price per kilo has declined, reflecting surplus supply, increased competition and ongoing commoditization, particularly at the lower UMF end of the Honey and Anjeer segment. These dynamics create both challenges and opportunities. While the environment is more competitive, the long-term category opportunity is substantial, and it is one that we are very excited about. To capture this opportunity, market and channel diversification, innovation, clear brand differentiation and disciplined execution are critical. This work underway today is strengthening our foundations, not only to support sustainable growth, but to position Comvita to lead the next phase of category development. We have confirmed our current strategic priorities, which remain consistent with what we shared at the ASM. Key to our strategy is diversification to ensure resilience across economic cycles and spread risk across major geographies, channels and customers. Our strategic imperatives are clear. We firstly need to grow share and volume, particularly in the lower UMF categories through market diversification, distribution extension and customer and business partnerships. Secondly, we need to clearly differentiate our brand and products from our competitors through the consumer benefits we deliver, innovating in formats and strengthening our science. The U.S.A. continues to be a key market for us, and we are focused on both online and offline growth alongside diversification in these channels. We need to continue to optimize and leverage our business model and continue to improve our cost structures to compete effectively, maintain our value proposition and deliver our profitable growth. With our highly capable team, our consumer and scientific understanding and our digital marketing capability, we have the right ingredients in place to deliver against these goals. Most importantly, we are committed to ensuring that every day, our decisions and our activities are managed with strong commercial discipline and rigor to avoid the mistakes of the past and to support prioritization and most importantly, focus. We have a clear mandate. As I have said previously, we need to fix what's broken, protect what's strong and deliver with discipline. Alongside disciplined capital allocation and operational excellence, we are focused on successfully maximizing the key value drivers that we have identified. These are winning with brand and innovation differentiation. They are success in key digital and e-commerce channels; and thirdly, leveraging the growth in private label and major club retail, while building strong customer partnerships. These priorities are shaping how we operate every day. They are practical, focused and aligned to the areas, where we see the greatest opportunity for long-term sustainable value. The next 6 months are about ruthless execution, delivering our promise, which is our financial commitments to you for FY '26, continuing to strengthen the business and converting the momentum we are building into sustained performance and long-term shareholder value. I would now like to hand back to Bridget, who will oversee the Q&A session. Thank you very much.
Bridget Coates: Thank you, Karl and Mandy, for those updates, excellent updates. really, really helpful, I'm sure. Before we move on to the question-and-answer session, I wanted to thank my fellow Board members for their ongoing efforts in helping position Comvita for a more successful future. Also critical to our progress are Karl and the rest of the senior leadership team and the wider global Comvita team, who remain focused on delivering our objectives and listing Comvita's performance. We are grateful to you. We are now ready for questions. Please click the Ask a Question box to send in your questions. We have allocated 20 minutes for questions. We will endeavor to answer as many questions as we can in this time. But if we do run out of time, we will provide you with a response after the presentation. We ask that questions are limited to 2 per attendee, and we remind you of our earlier comments about not being able to share any further information on the capital raise today. Thank you very much. Now over to the questions.
Kate Walsh: Thank you, Bridget. So a few questions coming here with similar themes, so we'll combine them. We'll start with shareholder dividend. Given the company's current financial improvements, what is your forecast hope for a shareholder dividend?
Bridget Coates: Thank you for the question. It is clearly a priority of the Board to return to a dividend-paying entity as soon as we possibly can. At the moment, though, we are still working hard on the recapitalization, as you would know, and on restoring our company to a strong financial position. So it is not something that the Board is considering in the near future. Nevertheless, it is a priority as soon as we are able to do so.
Kate Walsh: Thank you, Bridget. Another one for you. In the new capital raising, what is expected the net share dilution outcome would be?
Bridget Coates: As I indicated, we can't make any statements about that at this stage. We're still working to finalize the exact parameters of the capital raise and to indicate -- we will be able to indicate this to you in hopefully in short order. As I said, the -- in the announcement, the intention is that the underwrite should be positioned at $0.80. So we will see whether that is what happens in the fullness of time. It's certainly very -- our Board is very mindful of dilution and of protecting the position of our existing loyal and patient shareholders.
Kate Walsh: Karl, a question for you. Do you have a plan in place over the next 12 months to travel overseas and visit major clients in North America, China and Europe, i.e., to share the same [ air ] with them?
Karl Gradon: Great question. So I've made significant plans for the next 12 months already. I will be in North America in the coming days to the Expo West show, and we'll continue to visit the relevant markets. I'm off to China at the next month and was in Brisbane with the team just last week. So talking with our key customers is absolute priority. I was recently in North America only 3 weeks ago, talking with one of our key customers. So it is absolutely critical to our business success that we listen. And the best place to listen is to the marketplace. And as a result, we need to front not just myself, but the entire team to understand exactly how we can adapt our offering to what the marketplace demands. Good question. Thank you.
Kate Walsh: Thank you, Karl. Another one for you. Is the huge U.S. market growth in Manuka Honey sales sustainable? Do you anticipate more growth or reduction in sales for Comvita in the short to midterm?
Karl Gradon: The U.S. market certainly has grown significantly. The key piece of the puzzle for us is that we see the [indiscernible] household penetration is still very low. So there is certainly room to grow. But as always, for us, it's about working with the right customers, and we're very fortunate with the profile of retail footprint we have in North America today that happens to be targeting the exact demographic that we -- our brand is positioned against. So not only are we happy with the growth of the U.S. market, but we've actually positioned ourselves exceptionally well to harness that growth by entering into that marketplace aligned to the right profile of consumer group that our brand attracts.
Kate Walsh: Thank you, Karl. And another one on the U.S. actually. With the NZ dollar expected to rise and the issues with the U.S. dollar, what risks have been considered?
Karl Gradon: I am happy to say that our hedge policy is being complied to today, and we are fortunate that we have taken advantage of where we had been previously seeing the marketplace. However, as everything, you don't know the future. We have taken a mature position and very prudent risk-averse approach to managing FX volatility over the coming months, and I'm not expecting to see any surprises this financial year.
Kate Walsh: Thank you. And just while we're on North America, now that inventory is normalized, would you expect H1 '26 sales into the club channel to be sustained? Or is this part of the result of wanting to liquidate higher inventory?
Karl Gradon: There were several strategic reasons to enter the club channel in North America. One of them was to ensure that the inventory was carefully managed. However, as I mentioned earlier, it was actually to target the key demographic that we were after in North America. It's very important that we do not place our brand in channels that don't serve our target consumer group, and that club channel does serve that group. You have a cyclical nature of any wellness product such as ours, which delivers immunity benefits. That means leading into the winter period, you will tend to get an uptick in sales. So the seasonal nature is strong across any Northern Hemisphere sales channel. And what we have seen is that that's certainly played out with very strong winter sales in North America that we would not expect to see as they head into their summer months. So H1 is likely to be softer, but against our expectations that we had budgeted for.
Kate Walsh: Awesome. Karl, has Comvita and other New Zealand suppliers under the UMF designation considered a combined market strategy to hedge against Australian Manuka supplies. And this -- the person, who's asked the question has said they are looking at a Fonterra model or something similar.
Karl Gradon: Look, I think we need to work with all of our partners to ensure that the brand integrity of not just Manuka but New Zealand Inc. is sustained and enduring. We'll work with government entities. We'll work with our -- in a pre-competitive way to ensure that the entire sector in the Manuka sector thrives. So we have the Manuka Charitable Trust, which we do support. certainly out there defending Manuka and the word Manuka and the way that it's positioned globally. So we're proud of their work. We'll continue to support them. And as long as it's pre-competitive, I think the sector should be working extremely closely together to ensure that happens.
Kate Walsh: Thank you. And I'm going to pass to Mandy for a moment. So if we could bring Mandy up on screen, that would be great. Mandy, what is the gross margin trajectory for H1 FY '26? FY '25 was 43% down from 54% in the prior year.
Mandy Tomkins-Dancey: Thanks, Kate. So our gross margin percentage, our guidance remains in line with our IAR and those that we shared at the ASM. Our expectations are that gross margins will return to around 51%, and that's our expectation for the medium term.
Kate Walsh: Thank you, Mandy. How much cash is coming from operations rather than balance sheet release, so aging inventory?
Mandy Tomkins-Dancey: So as Karl has spoken into, we had an inventory normalization program that leveraged our club retail channel. And that is the key driver for that inventory reduction. It is not related to really a disposal of aged inventory, although it has allowed us to work that through. We are really pleased to say that our inventory has normalized, not through heavy discounting, not through seasonal fluctuations and not through significant challenges in dumping of aged inventory. We are in a good position and we're pleased to share that with you.
Kate Walsh: Thank you, Mandy. What is the target sustainable level of inventory as a percentage of annual sales to maintain?
Karl Gradon: I'll pick that one up, Kate. The inventory levels are cyclical, and it is within a range. And right now, we are operating within that range of ideal levels for our business at this time of the season. It's too early for us to say what our own harvest is, let alone what the harvest is for the entire sector. So with that in mind, it's impossible to tell you what the ideal target inventory is. However, I think we're in a very strong position today compared to where we have been in the past 3 years.
Kate Walsh: Thank you, Karl. Bridget, one for the Board. Based on guidance commentary, year-end net debt-to-EBITDA seems likely to be close to or below 2x. Why does the Board believe this to be excessive?
Bridget Coates: I'm not sure that we have said that it's excessive. We are, as you know, undergoing the recapitalization with the bank to position ourselves for a stronger balance sheet going forward and the maintenance of a good sound net debt position is very much a part of that. We -- this is a cyclical business. We are not keen to get back into the cyclicality, the financial exposure that we had in previous years. And we do believe that a conservative and prudent debt position is very, very much a part of our future, and the Board is very committed to that.
Kate Walsh: Thank you, Bridget. Karl, I'm going to come back to you. You have touched on this a little bit already, but this does relate specifically to the scheme booklet, so I'm going to run through it. Can you talk a little bit more about the expected seasonality in your FY '26 outlook? The implied sales number by region in the scheme booklet suggests meaningful slowdown in the U.S. and the gross margin assumption assumes a big lift in the second half. Are these both still relevant?
Karl Gradon: The margin assumptions were based on the fact that we would be pushing through inventory that we had procured at higher prices. And as a result, as that flows through the system, our gross margin is certainly in line with the expectations we had published in the IAR. The growth rates in the U.S. also reflect -- that we put into the IAR are also reflected in our current assumptions. So for us, the U.S. market continues on track, both at a margin level and at a volume level. And the great thing for me is we are seeing encouraging progress across our non-club retail reset and our online channels as well, which gives me reason to believe that the club retail partnerships is paying dividends beyond that particular channel.
Kate Walsh: Thank you, Karl. Another one for you. How is Comvita using YouTube to promote the brand, noting a recent YouTube post put Comvita #3 with an Australian Manuka brand achieving #1.
Karl Gradon: Look, I'm unaware of any post that you're referring to there. However, I would also say that when it comes to any brand integrity measure that I've ever seen, Comvita is ranked #1. And don't believe everything you see online. I'm sure there is science behind many methodologies. I'll stick to the tried and true in the published facts and hope to see us continuing to punch above our weight when it comes to our brand. I can't comment on something I'm not aware of, sorry.
Kate Walsh: Another one for you, Karl. Can we have a comment on the Olive Leaf business? And how much does it contribute to the business profitability-wise?
Karl Gradon: Look, Olive Leaf is a great product. The extract is demonstrable in terms of its health benefits and the science backing it is absolutely credible beyond what I even understood coming into this business. So that's the first place I'll start. Has it been nurtured in the way that we probably could have? No. Is it going to continue to play an important role in our portfolio? Absolutely. The reason I say that is because the margins that we can extract through being a vertically integrated business with our operations that I visited for the first time in Brisbane -- outside of Brisbane just last week, give me real hope that this and expectation that this business is able to set this up well with the best value proposition for our consumers that expect great quality, great science and great provenance to ensure the integrity of that brand. So I can't tell you exactly what it's going to make up in terms of numbers, but let's just say it's my expectation is that we will be seeing it much improved over the course of the next 2 to 3 years.
Kate Walsh: And Karl, are you able to elaborate more on how the honey season is panning out given the weather issues that have occurred this summer?
Karl Gradon: It is too early for us to say. But our early indications are that we're tracking in line with our initial expectations. There are some geographies that others have had good seasons, other geographies, which have been challenging. So we'll net out and we'll see how it goes, but it's way too early for us to say right now.
Kate Walsh: Thank you, Karl. Just to note, there is a few quite detailed questions in here and a couple of questions from reporters. We will deal with those off-line. Karl, final one for you. Does the CEO believe he has sufficient edge to complete a successful turnaround of the business? And how do you think you are different from the many other immediate past CEOs?
Karl Gradon: What a great question. Thanks to whoever asked that. Do I believe I've got an edge? I absolutely do. The reason for that is I'm ruthlessly focused. I am looking to bring a team together with transparency, and I am looking to surround myself with the best possible people I can find out there. And I'm very proud of what we've achieved in that exact area. People sets the culture, the culture sets performance, and I'm very confident that with the right people around the table, not for me, but for the business to thrive, we're set up for success. So do I have the edge? I'm extremely competitive when it comes to the right things, and I'm looking forward to competing head-to-head with everyone out there in the marketplace today. I think my experience of leading turnarounds in several of the business has proven itself, and I'm just really enjoying what I do right now and working with a wonderful bunch of people from the Board right the way through to our global team and of course, our customers. So great question. I guess, the results will tell the test of time.
Kate Walsh: We've just got a few more filtering through. We will wrap up questions very shortly. So if you do have a question, please pop it in now. Karl, further details of the management of your Manuka forest, which appear to be below expectations.
Karl Gradon: I think the Manuka plantations have always set ourselves a very long-term horizon in terms of where they're taking our business, but they have been a very key strategic enabler. One of the things that is quite unique is the genetic profile of those particular trees and the production of some of the key components that will underpin our future strategy. I'm not entirely at liberty to talk to that today, but just say that the innovation plans that we do have that value both provenance and the science-based quality claims that we've got are going to be underpinned by our plantations, and we're very happy with where they sit today.
Kate Walsh: Thank you, Karl. And Bridget, I don't have any further questions through at this time. So I'll hand back to you.
Bridget Coates: Excellent. Could I just say thank you to everybody for attending this call. Karl, you gave some outstanding answers, especially to the most recent question about focus and leadership. And we are, as a Board, absolutely delighted with the team that you are assembling and with the way that you have led the business since you started, which was only 6 months ago, and the improvement has been notable. We are very grateful and look forward to a continuation of the strong performance that you are leading. Thanks to everybody on the call. Really appreciate your attendance and look forward to seeing you again at the time of the full year announcement in August. Thank you.